Operator: Hello, everyone, and welcome to Ferguson's First Quarter Results Conference Call. My name is Bruno, and I'll be coordinating your call today. [Operator Instructions]  I would now like to turn the call over to Brian Lantz, Vice President of Investor Relations and Communications. The floor is yours. Please go ahead. 
Brian Lantz: Good morning, everyone, and welcome to Ferguson's first quarter earnings conference call and webcast. Hopefully, you've had a chance to review the earnings announcement we issued this morning. The announcement is available in the Investors section of our corporate website and on our SEC filings webpage. A recording of this call will be made available later today. I want to remind everyone that some of our statements today may be forward-looking and are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected, including the various risks and uncertainties discussed in the section entitled Risk Factors in our Form 10-K.  Also, any forward-looking statements represent the company's expectations only as of today and we specifically disclaim any obligation to update these statements. In addition, on today's call, we will also discuss certain non-GAAP financial measures. Please refer to our earnings presentation and announcement on our website for additional information regarding those non-GAAP measures, including reconciliations to the most directly comparable GAAP financial measures.  With me on the call today are Kevin Murphy, our CEO; and Bill Brundage, our CFO. I will now turn the call over to Kevin. 
Kevin Murphy : Thank you, Brian, and welcome, everyone, to Ferguson's first quarter results conference call. On the call today, I'll cover highlights from our first quarter performance and I'll also provide a more detailed view of our performance by end market and by customer group before turning the call over to Bill for the financials. I'll then come back at the end to give some closing comments before Bill and I take your questions.  Focusing on the first quarter. Our associates delivered solid results that were in line with our expectations as we lap strong comparables. Our dedicated associates have remained focused on execution continuing to go above and beyond to serve our customers, helping to make their projects more simple, successful and sustainable. As expected, we saw a modest revenue decline of 2.8% in the quarter in a challenging market. We delivered solid gross margins and we're diligent in managing costs, delivering adjusted operating profit of $773 million, down 10.5% but delivering an adjusted operating margin of 10% and adjusted diluted earnings per share of $2.65. Over the 3 years since fiscal 2021, this represents sales growth of 43%, adjusted operating profit growth of 60% and adjusted diluted earnings per share growth of 74% for the first quarter.  Our views on fiscal 2024 guidance are unchanged, and Bill will walk you through this in more detail shortly.  We're confident in the strength of our business model as we go forward. And turning to the performance by end market in the U.S., net sales were down 2.7% as we lap strong comparables and markets remain challenged. Residential trends have remained broadly consistent with the prior quarter, with markets impacted by the slowdown in new residential construction, an area serving the project-minded consumer. Repair, maintenance and improvement has seen greater resilience, particularly with our core trade professionals and in high-end remodel, but the markets were down in the first quarter as expected. Our residential revenues, which comprised just over half of U.S. revenue declined 7% in the quarter. Non-residential markets outperformed residential due to commercial and industrial activity. Areas such as data centers and manufacturing have held up much better than other areas such as office and retail.  Overall, net sales in non-residential grew by 2% during the quarter. While we expect growth rates will fluctuate over time, our intentional balanced end market exposure positions us well. Shifting now to revenue growth across our customer groups in the U.S. Residential trade plumbing declined by 12% against a 15% prior year comparable growth as subdued new residential construction activity weighed on performance. Leading indicators such as new residential permits and starts have stabilized but remained below prior year. HVAC grew by 4% with a 2-year stack growth rate of 22% driven by the execution of our HVAC growth strategy. Residential building and remodel revenues declined 3% against a 21% prior year comparable. Residential digital commerce declined by 14% as weaker consumer demand has persisted. Waterworks revenues were down 1% against the prior year growth comparable of 27%. Demand and bidding activity remains healthy and we benefit from a broadly diversified business mix including residential, commercial, public works, municipal, meters and metering technology, water and wastewater treatment plant, soil stabilization and urban green infrastructure.  Commercial mechanical customer group grew by 6% in our industrial, fire and fabrications and facility supply businesses delivered a combined flat sales performance in the quarter against a 25% growth comparable driven by the continuation of broader non-residential trends such as onshoring of manufacturing, plant turnaround work and general industrial activity. Our breadth of customer group allows us to bring value to the total project while also maintaining a broad and balanced end market exposure. Now let me pass you over to Bill to cover the financial results in more detail. 
Bill Brundage: Thank you, Kevin, and good morning, everyone. First quarter net sales were 2.8% below last year. Organic revenue declined 4.9% with foreign exchange rates having a 0.1% adverse impact, partially offset by acquisition revenue of 2.2%. As expected, pricing stepped down further from 1% inflation in Q4 to approximately 2% deflation in Q1. This was principally driven by weakness in certain commodity categories as we lap strong comparables. Gross margin of 30.2% was down 30 basis points over the prior year, also impacted by certain commodity categories.  Cost base has been well contained with total costs flat compared to the prior year, enabling us to deliver a 10% adjusted operating margin, down 90 basis points over last year. Adjusted operating profit of $773 million was down $91 million or 10.5% lower compared to the prior year. Adjusted diluted earnings per share was 10.2% lower than the prior year, with the reduction due to lower adjusted operating profit partially offset by the impact of our share repurchase program. And our balance sheet remains strong at 1x net debt to adjusted EBITDA.  Moving to our segment results. The U.S. business delivered another solid quarterly performance against strong comparables. Net sales declined by 2.7%. Organic revenue declined 5% on top of a 13% prior year comparable growth rate. This was partially offset by a 2.3% contribution from acquisitions. We generated adjusted operating profit of $766 million, delivering a 10.4% adjusted operating margin.  Turning to our Canadian segment, markets were soft and foreign exchange rates also weighed on results. Net sales declined 5%, and Organic revenue declined 3.3%, and foreign exchange rates reduced revenue by a further 1.7%. We have seen similar market trends in Canada to those in the U.S. with non-residential end markets proving more resilient than residential. Adjusted operating profit of $23 million was $10 million below last year. Adjusted operating margins of 6.1% were down from 8.3% in the prior year but improved sequentially from 5.4% in Q4.  The business continues to generate strong cash flow. As we exited last fiscal year, our inventory levels were more normalized as supply chain constraints had eased. Working capital investments of $219 million during the first quarter were in line with historical seasonal trends. Interest and tax outflows were as expected, and we continue to invest in organic growth through CapEx, investing $91 million during the quarter, similar levels to last year. As a result, free cash flow was $473 million, a $65 million increase over the prior year. Our balance sheet position is strong, with net debt to adjusted EBITDA of 1x. We target a net leverage range of 1x to 2x, and we intend to operate towards the low end of the range through cycle to ensure that we have the capacity to take advantage of growth opportunities as well as to maintain a resilient balance sheet.  We allocate capital across 4 clear priorities. First, we're investing in the business to drive above-market organic growth. Previously mentioned, we invested $219 million in working capital and $91 million into CapEx during the quarter, principally focused on our market distribution centers, branch network and technology programs.  Second, we continue to sustainably grow our ordinary dividend. Our Board declared a $0.79 per share quarterly dividend, a 5% increase over the prior year, reflecting our confidence in the business and cash generation.  Third, we're consolidating our fragmented markets through bolt-on geographic and capability acquisitions. We are pleased to have welcomed associates from SecureVision of America during the quarter, a leading distributor of waterworks metering solutions in Texas. Our deal pipeline remains healthy, allowing us to continue to execute our consolidation strategy.  And finally, we are committed to returning surplus capital to shareholders when we are below the low end of our target leverage range. We returned $108 million to shareholders via share repurchases during the quarter, using our share count by approximately 700,000 we ended the period with $429 million outstanding under the current share repurchase program.  Turning last to our view of fiscal 2024 guidance, which is unchanged. We believe revenue will be broadly flat for the year, reflecting a challenging market, particularly in the first half of our fiscal year against strong prior year comparables. For the year, we assume end markets declined in the mid-single-digit range. We outperformed these markets by approximately 300 basis points to 400 basis points. We have a tail from completed acquisitions, which we expect to generate just over $500 million in revenue and the benefit of one additional sales day landing in the third quarter.  Overall, while we saw expected modest deflation in Q1, we are assuming a broadly neutral pricing environment for the full year. We continue to provide a range for adjusted operating margin between 9.2% to 9.8%, with the midpoint reflecting modest continued normalization, largely driven by strong first half comparables. We expect interest expense of approximately $190 million to $210 million. Our adjusted effective tax rate should stay broadly consistent at approximately 25% and we expect to invest between $400 million to $450 million in CapEx, similar levels to fiscal '23.  So to summarize, we had a solid first quarter performance in line with our expectations and our views on fiscal 2024 guidance are unchanged. We remain focused on execution and believe the combination of our strong balance sheet, flexible business model and balanced end market exposure positions us well.  Thank you, and I'll now pass back to Kevin. 
Kevin Murphy : Thank you, Bill. Let me again thank our associates for an unwavering dedication to serving our customers. The year has started in line with our expectations, and we're pleased with execution in the first quarter. As Bill set out, our fiscal 2024 guidance is unchanged. As you will have seen in the release this morning, the Board is evaluating the domiciliation of Ferguson's ultimate parent company in the United States is a logical next step to enable full alignment of the company's headquarters and governance with the geography of our operations and leadership team.  As we look forward, despite the current challenging macroeconomic environment, we're well positioned with a balanced business mix between residential and non-residential, new construction and repair maintenance and improvement. We have an agile business model and a flexible cost base that allows us to adapt to changing market conditions. Our cash-generative model allows us to continue to invest for organic growth, consolidate our fragmented markets through acquisitions and return capital to shareholders. We intend to do this while maintaining a strong balance sheet, operating at the low end of our target leverage range. We consistently executed on these priorities for many years, and this has supported a long-term track record of outperformance and disciplined deployment of capital.  Over the 10 years to end of fiscal 2023, our revenue compounded annual growth rate has been 9.6%, with a 14% adjusted operating profit CAGR, while also returning $11 billion to shareholders in the form of dividends and buybacks. As we consolidate our markets, we've reliably delivered organic market outperformance of 300 basis points to 400 basis points while bringing in approximately 50 acquisitions in the past 5 years alone.  Our scale and breadth allows us to leverage our competitive position across our customer groups in order to benefit from emerging multiyear tailwinds in our end markets. Remain confident in the strength of our markets over the medium and longer term and expect to capitalize on these growth opportunities.  Thank you for your time today. Bill and I are now happy to take your questions. Operator, I'll hand the call back over to you. 
Operator: Thank you. [Operator Instructions] We do have our first question comes from Phil Ng from Jefferies. 
Phil Ng : Congrats on another solid quarter in a choppy environment. Appreciating 1Q is your toughest comp quarter. But curious, how did pricing track sequentially in 1Q? And have you seen prices stabilize, especially on the commodity side? And your flat-pricing guidance for the full year, is that predicated on price increases on your finished goods categories and have your suppliers announced any price increases for calendar year 2024? 
Bill Brundage: Yes. Phil, it's Bill. I'll start with that, and I'm sure Kevin will add to it. In terms of pricing throughout the quarter, it was relatively stable sequentially. So from Q4 to Q1, pretty stable prices. In terms of through the months, commodities stepped down a touch as the comparables were very difficult stepping through Q1 of last year, but relatively consistent, not a lot of movement. And then as we stepped into the second quarter here, again, not a lot of additional movement. 
Kevin Murphy : And Phil, thank you for the question. When you think about the different commodity-based products that we sell through they, as expected, aren't moving in the same direction at the same velocity at the same time. And so we've seen differences in what that deflationary pressure looks like. We have seen signs of stabilization though. You look at products like steel that have seen some degree of stabilization and, in fact, some increase.  As you play that through into finished goods, now is not the time that we would typically see those annual finished goods price increases, but we do expect them. They have been forecast in terms of seeing that modest increase get back to a more normalized annual cadence. And as you look at that normalized annual cadence that gets into that low single-digit place and whether that is offensive or defensive in terms of what those price increases look like. We do believe that it provides some degree of a floor under that finished goods side of the business as we approach calendar year '24. 
Phil Ng : Okay. That's helpful. On the non-res side, the business continues to hold up really well, show pretty good resiliency. Appreciating once again, you're very diversified here. How do you see trends kind of shaping up in the course of the year? I'm just trying to gauge how you seen like the full impact of the slowdown from office and retail. And you called out bidding activity picking up in mega projects? And how do you kind of see that rippling through your business? So effectively, are you anticipating top line potentially accelerating in the coming quarters? 
Kevin Murphy : So it's really been as expected, and we have seen that drop off in typical knock-on commercial activity like office and retail, and that's created a pressure environment in the non-res space. What we've also seen, though, is, as you've seen a drop off in say, distribution center or warehouse activity, you've seen a fairly strong pickup and continuation of data center activity, especially with what's happening in the AI space. And these projects are very good for us across multiple customer groups from underground water, wastewater, commercial mechanical, fire suppression and the like.  As you think about the mega project landscape, as we've discussed, these are going to be longer projects. The bidding activity continues to be quite strong. The open order volumes that we're seeing continue to pick up, and we're actually seeing and experiencing revenue growth inside of those mega projects. They're just taking a great deal longer and that was really as expected. For us, it's as much a catalyst for how we want to operate across multiple customer groups on the whole of the project, as well as being a good support mechanism inside that non-residential space. 
Operator: Our next question comes from Ryan Merkel from William Blair. 
Ryan Merkel : First off, can you just comment on quarter-to-date trends? And the reason I ask is it seems that the broader macro has slowed a little bit. So I'm just curious if you guys have seen anything. 
Bill Brundage: Yes, Ryan. We've actually -- as expected, we've seen our growth rates improve a bit as we've stepped into the second quarter. So down about 5% organic decline in Q1. That has stepped up a bit. We're down in the low single-digit range. And that's how we expected the year to start to play through as those comparables start to ease as we move through the second quarter and really get into the second half. So we've seen a little bit of improvement in those growth trends actually. 
Ryan Merkel : Got it. That's great to hear. And then my second question is just on the HVAC segment, standout performer. What is your outlook over the next 2 years for pricing just given the regulations? What have you heard from suppliers? 
Kevin Murphy : So we knew that pricing was going to be supportive as you went through the regulatory changes and whether that's going to be in that high single-digit piece. We'll see how it plays out. But if you look at our business, we really look at what is that mix going to be in terms of parts equipment and supplies. And then what's that mix going to be for us in terms of what ductless looks like versus unitary. So there are a lot of variables inside of that.  But clearly, price is going to be supportive as we go through regulatory changes and we look at what is a bit of a more challenging environment from a volume perspective. 
Operator: Our next question comes from John Lovallo from UBS.
Unidentified Analyst : This is actually [Matt Johnson] on for John. So first off, can you guys talk about some of the pros and cons with the redomiciling? And can you talk about any potential financial implications here, whether it's for corporate costs or your tax expense? 
Kevin Murphy : Thanks, Matt. In terms of pros and cons, if I take a step back, and think about our journey that we've been on for the last several years, we're really pleased with the methodical way that we've approached the entire process, the standing up of a secondary listing in New York, the movement of the primary listing to New York out of London, what's happened in terms of the shift in sell-side coverage, what's happened in terms of the shift of indexation.  And for us, this is really viewed as a natural next step in terms of moving the governance moving what our headquarters is in line with our geographic location of our markets. This is a North American company, principally in the U.S. and where our leadership sits. And so for us, it's more of just a natural next step, and we're early days in terms of what that journey looks like. 
Bill Brundage: Yes. And in terms of the financial impact, we're in the process of evaluating that. But sitting here today, we expect the overall financial impact to be relatively immaterial with a move to a U.S. corporate headquarters. But more to come on that as we fully develop our process and the approach. 
Unidentified Analyst : I appreciate that. And then just one more. I guess your guys' outlook is unchanged, but interest rates have obviously come in meaningfully over the past month. I guess, can you guys just provide any thoughts on end market recovery if rates did just say stay where they are from here? 
Kevin Murphy : For our end markets, they really are playing out very much as expected. And as you think about the rate environment, the biggest impact that we saw, obviously, was on the new residential construction side, just half of our -- just over half of our business is on the residential side of the world with the lightest portion of that being new res. We saw that play through. But we're seeing stabilization inside of what permit and start activity looks like. And although it's not north of that 1.5 million starts a year that we need as a country, we are seeing some degree of stabilization there.  As you think about what the rate environment is doing on the non-res side, yes, we have pressure and there's some -- going to be some fits and starts, maybe some pauses even on the mega project side. But generally speaking, we see that continuing to play out very much as expected with knock-on commercial being pressured, but data center activity, mega projects continuing to press on in light of the interest rate environment that we're in today. 
Operator: Our next question comes from Mike Dahl from RBC Capital Markets. 
Unidentified Analyst : This is actually [Chris Kanoff] for Mike. Just shifting over to margins. I was hoping to get your latest thoughts on the trajectory for margins this year, first half versus second half, realizing the guidance is unchanged, but just your latest views on dynamics there? 
Bill Brundage: Yes. Really no change in that. As we look at the full year, Chris, expecting that operating margin to land in that 9.2% to 9.8% range, as we talked about on our fourth quarter call as we set that guidance out, we're expecting that midpoint expect some modest continued normalization and most of that coming in the first half of this year, as you just saw, the 10% operating margin down from last year and that was very much as expected. We expect as we go through the second quarter to have a bit of continued pressure given the really strong second quarter we had last year and then some improvement as we step into the second half, as growth stabilizes to Kevin's point that he just walked through and as we returned back to growth and get back to broadly flat revenue for the year. 
Unidentified Analyst : I appreciate that color. And then just shifting over to capital allocation with share repurchases kind of stepping down sequentially this quarter. I just wanted to get your latest thoughts on capital allocation priorities and how the M&A landscape is looking today? 
Kevin Murphy : Yes. Really no change in terms of how we're executing that. Our intention is to operate towards the low end of our leverage range, 1x to 2x. We're sitting right at the bottom end of that range right now. And so as you saw from an acquisition perspective, 1 small acquisition completed in the quarter, but the deal pipeline is pretty healthy. So we're maintaining some capacity there to continue to consolidate our markets. But you should expect us to operate towards the low end of that range and continue to execute our capital priorities across that 4-step priority order. 
Operator: Our next question comes from Will Jones from Redburn Atlantic. 
Will Jones: Just a couple for me, please. I think on the gross margin. Perhaps you could just help us better understand that first half -- or first quarter gross margin, the 30.2%. Would you be willing to draw out what the commodity impacts were against that? And what was working in your favor to still deliver that good gross margin despite the commodity effects? And then secondly, just when we think about gross margins with regard to mega projects, just as you go through the bidding process there. Any more insights into whether those mega projects might be gross margin accretive or not relative to normal non-res projects. 
Bill Brundage: Yes. Well, we were pleased with the team's execution on gross margins in the first quarter, staying above that 30%, delivering 30.2%. And we had expected a little bit of a step down coming out of -- you may recall in Q4, we were at 30.6%, but we talked about some onetime inventory gains as we sold through some older inventory. As I think about that 30.2%, yes, there's a little bit of pressure from a commodity perspective, but the team is really executing well with own brand sales. That continues to be about 10% of our revenue.  And that's, as you know, gross margin accretive and then really good pricing discipline in the field as we're managing through what is a tricky time from a commodity perspective. So really good execution. 
Kevin Murphy : Yes. Building on that, Will, the team did a great job from an execution perspective and gross margin pressure was less so of an impact in gross profit dollar was, as you think about deflation in the commodity markets, a lower gross profit dollar on the gross margin, it's relatively consistent. When you think about the mega project landscape and the approach, the group is doing a very good job of selling value-added services, selling our product strategy to make sure that our gross margin is relatively consistent as we approach that mega project landscape. And in fact, if you look at our non-residential business today, I mean, what's clearly evident in the numbers, there are more commodity-based product impacts on the non-residential side and yet that business is in a growth territory. And so volume growth inside of the non-residential space is something we're pretty proud of as we're sat here today. 
Operator: Our next question comes from Patrick Baumann from JPMorgan. 
Patrick Baumann: First one, maybe dive into the customer groups a little bit. The commercial mechanical growth improved nicely, I thought, versus the fourth quarter there. Anything in particular to call out in terms of drivers? Is it -- was it more RMI focused or any particular verticals within that, that drove that? And then I'll leave that one there, and I'll go to the next one. 
Kevin Murphy : Yes. Patrick, thanks for the question. And from a commercial mechanical perspective, you're right, we were pleased with what that growth looks like. If I go back to the previous question, it really is in line with that portion of the discussion non-residential activity in market is a bit challenged. Our business mix has got a good split between repair, maintenance and improvement and new construction. We have seen good activity levels in places like data center work as well as the mega project landscape and how that commercial mechanical space feeds in quite well with our industrial business for that onshoring of manufacturing activity, electric vehicle production, sustainability build-outs and the like.  And so it really was that balanced non-residential exposure that was strong for us. And then like I say, to be in a volume growth territory and to be able to hold gross margins relatively consistent as we move through a deflationary space on commodity-based products, we feel pretty good about where that is. So again, the balanced nature of the business serves us well and our ability to sell through into these different growth areas of non-residential is very pleasing for us. 
Patrick Baumann: Yes, helpful. And then maybe a follow-up on the gross margin question. Do you look at that low 30s number now as being normalized at this stage for, I guess, pricing deflation, et cetera. I'm just wondering if that you can hold in that range now going forward and start to kind of grow from there? 
Bill Brundage: Yes, Pat, our belief has been over the last several quarters that the gross margins would learn that 30% mark. And so we're, again, pleased with the execution to date. Certainly, we're not expecting significant additional deflation that could put some pressure further pressure on that gross margin in any particular quarter. But we very much feel like that 30% range is a good normalized point from which we can build on into the future as we get back to some market growth and then continuing to take share in executing our strategy.  And as that commodity deflationary environment stabilizes and we operate from a more normalized environment, we then intend to build on that gross margin steadily and durably over time by not only implementing our product strategy and driving those things that are important to our company, but also in continuing to build out value-added services that allow us to see that value reflected in the gross margin of our business. So that's not a floor for us. We'll continue to build from there over time just like we have historically. 
Operator: Our next question comes from Kathryn Thompson from Thompson Research. 
Brian Biros: This is actually Brian Biros on for Kathryn. I guess to start, can you just touch on a little bit more on the mega project beating in today's environment, kind of how Ferguson wins here and how you differentiate versus your peers? I know in the past, you've talked about kind of getting closer to the engineer or the GC or the owner to kind of be involved in the process to get the right products there. But any more color in the current environment would be helpful. 
Kevin Murphy : Yes. The mega project landscape actually is playing out very much as we expected. We knew this was going to be a slower landscape in terms of what bidding activity looks like and how that bidding activity flows into open orders and how open orders flow into actual revenue and construction. So it really is playing out as expected. We're pleased with what that ramp-up looks like. We won't see the full impact of this structural tailwind until we get into the coming years.  That said, as we've discussed in past quarters. For us, this is a catalyst for how we want to operate in the future. These mega projects are large construction projects where scale is beneficial. And bringing the scale of our supply chain and our capabilities to bear inside this market is helpful. We also are getting closer to the engineering community, the ownership of the general contracting level to make sure that we're solving problems for them across multiple customer groups.  And then lastly, although we stay very true to the individual trade that's doing the work, whether that's the waterworks contractor, the fire protection contractor, the commercial mechanical contractor or the industrial contractor, we do add value by bringing those customer groups together on the site especially when there's such scale and complexity on some of these projects. And so that's playing out as we had hoped, and we continue to work and invest in what those capabilities look like. 
Brian Biros: Got it. And a follow-up on the waterworks acquisition announced. Can you just any more color on kind of the acquisition that the Waterworks metering distributor in Texas to kind of how that fits into the larger M&A strategy you guys for you either on a product basis or a geography basis? 
Kevin Murphy : So if you look at our core waterworks business on core products and pipe out and fitting for residential, commercial and municipal applications, it's been well built out across the whole of the United States, and we maintain a very strong position inside that business. We have in the past many years, been working to build out water and wastewater treatment plant capabilities, metering and metering technology capabilities. And so what you've seen with this acquisition is meters and metering technology capabilities in the State of Texas, so that we cannot only service that market, but also get closer to that municipal customer because that relationship serves us well across the whole of our business.  And you'll see us continue to work to build out meters and metering technology, urban green infrastructure and sold stabilization. It's been a key part of our acquisition strategy as we complement what's already a strong business across the whole of the United States. 
Operator: Our next question comes from Sam Darkatsh from Raymond James. 
Sam Darkatsh: Two questions, and these are both kind of follow-ups to a certain degree. Bill, you mentioned that you expect the debt leverage to remain at the low end of the range for the foreseeable future. But you obviously can't always control when really attractive things come to market. I was just curious as to what the organization's bandwidth and appetite is and making larger scale M&A right now, perhaps away from the core business?  And I asked this in light of the fact that obviously there's a major energy PVF player that's extensively looking into a sale, and you're seemingly one of the only strategic players with the balance sheet to comfortably ingest such a transaction. So I'm just curious as to the interest, maybe not with that particular situation in particular, but in general, for larger scale M&A right now with the organization. 
Bill Brundage: Yes, Sam, I'll start to talk a little bit about how we view leverage and capacity from an acquisition standpoint. And I think Kevin will probably weigh in on the strategy side of how we're thinking about customer groups and large-scale M&A. To your point, operating at the low end of our range gives us quite a bit of flexibility, if you think about roughly $3 billion EBITDA business, 1 to 2 turn leverage range gives us roughly $3 billion of capacity were we to scale all the way up to 2x.  We intend to operate towards the low end to give ourselves the capacity to scale up in general, what you've seen out of us and what our industry lends itself to are 10,000-plus small to medium-sized competitors. And so to Kevin's point earlier in the day, we've done over 50 acquisitions in the last 5 years, mostly in that small to medium-sized range. Sometimes, those are a bit lumpy and they come together. You saw only one this quarter. Sometimes we'll do 3, 4, 5, 6 in a quarter. So we want to maintain that capacity. 
Kevin Murphy : To Bill's point, the bolt-on acquisition strategy, both capabilities as well as geographic has served us well. And quite frankly, the industry is built out that way. When you think about platform acquisition or larger scale acquisition, we will, in fact, look at that as we look at customer group expansion. We very much look at the customer that we need to serve and the capabilities that we need to bring to serve that customer and then as importantly or maybe more importantly, how does that fit into the project as a whole and what our relevance is on that project.  And you've highlighted energy transition and maybe even sustainability as a catalyst for what we would look at. And so it's fair to say that we continue to look at how our individual customers today, especially in a multi-trade environment are operating both residentially and non-residentially and how do we best serve them. And so it's always in our mind as to what that next customer group might look like. But today, we're fairly well focused on that bolt-on strategy and how that can complement our business from an organic perspective. So thank you very much for the question, Sam. 
Sam Darkatsh: Yes. Fair enough. And if I allow us a follow-up, Kevin. You mentioned the normalization in inventory and supply chains at this point. Are you seeing any increase in pressure from the independents and regional competitors now that at least relative inventory availability is not as much a lever point in the business? And where within your business verticals might that occur if it would? 
Kevin Murphy : We've seen normalization of supply chains for the -- with maybe 1 or 2 small exceptions. We have a normalized supply chain across our business and across our customer groups. We were very fortunate during the period of supply chain chaos to use the strengths that we have and the vendor relationships and the size and scale that we have to out gain from a share perspective, what our traditional 300 basis points to 400 basis points were. That's normalized and we expected that to normalize.  Do we see any further pressure both from a pricing perspective as well as from a market perspective, now that supply chains have normalized? No, we don't. In fact, the majority of the deflationary activity, as we discussed, as we talked about earlier, really came from commodity-based input as opposed to what's happening in the overall market. So we don't see any abnormal pressure that we wouldn't normally see inside of these markets. 
Operator: We currently have no further questions. So I'd like to hand the call back to Kevin Murphy for closing remarks. Please go ahead. 
Kevin Murphy : Yes. Thank you, operator, and thank you all for your time today to take part in the call. We really appreciate that time. And as I close, really close as we began, and that is things are really playing out as we expected, and we're extremely pleased with the execution of our teams and taking care of our customers and making their projects more simple, successful and sustainable.  We're confident in the medium and long term of these markets, both residentially and non-residentially and some of the structural tailwinds that we're seeing develop. The strength of our business model will continue on, and we've got great confidence in it. So thank you very much. Please take care, and we'll talk soon. Thank you. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines. Thank you.